Operator: Okay, let’s get started. So, hi everyone and thank you for joining Maris-Tech Investor Webinar. I’m Shelly Groisman, the Marketing Manager of Maris-Tech. Today, our CEO Israel Bar and our CFO Nir Bussy will present the latest updates for Maris-Tech’s. So Israel, the stage is yours.
Israel Bar: Hello everybody, and thank you for your time. We'll go through a presentation showing the Maris business and technologies and after that, Nir our CFO will continue with the financial information. Please take a few seconds to review the legal disclaimer. So a few words about the company overview. Maris was founded in 2008 and started its operation in 2010. We took the company public in 2022. And we have offices in Israel and the USA. In Israel, of course, we have the headquarters, the R&D, manufacturing, and we employ 16 employees. We can say that we are about 20 people working consistently in the company. We have a few freelancers. So everything I'm going to tell you about and all the achievements and the technology development was created by these 16 up to 20 people. What we are doing in Maris, we are dealing with age computing solutions. We develop hardware and software OEM solutions or final products, which are integrated in remote platforms. And when I'm talking about remote platforms, I'm talking about drones, robots, armored vehicles, any platform, which is carrying sensors, video, audio and telemetry. And the platforms that we are providing are dealing with the capture of the information, the transfer, the stream of the information to the operators and integrating AI capabilities on the platforms, although we are not developing AI algorithms by ourselves, but we are providing, I would call it a miniature low power light computers, either on OEM level or within enclosures, which are serving both pipelines. Everything related to the video is done by our firmware and we provide a platform, which enables our customers to develop their own AI algorithms. Although in certain cases, we're using off the shelf tools as I'm going to describe later on. In terms of markets and applications, we are dealing with a variety of markets. The main market, as discussed later, is the defense market, homeland security, unmanned vehicles, intelligence gathering, aerospace and smart city. Although I'm not going to discuss the aerospace later on, but I can emphasize that we have been involved in some spacecrafts applications, the Israeli Satellite that was launched to the moon. And we have a cooperation with a space company in the U.S. In terms of customers and partners, we have a long list of customers. I can emphasize the customers, which are the Israeli defense industries like Rafael, IAI, Elbit, Elta, which is not listed here, the Ministry of Defense, the IDF and other customers in Israel. We have partners, our main partner when it comes to AI is Hailo, an Israeli company which is providing excellent low power AI accelerators. We have customers worldwide. We are working with [Leonardo] (ph) and other customers. And we have relationship and partnership with Renaissance, a giant Japanese providing video solutions and LightPath a U.S. company providing thermal cameras, which we are going to design mutual products. A few highlights on 2024. First of all, we can say very clearly, Maris became a defense industry, that's clear. It happened during the end of 2023 and during 2024. Our main activities are related to the defense market due to the circumstances here in Israel worldwide and the fact that the world is now trying to get more defense technology, more defense solutions, and Maris is with the right technology on the right time. And we can see a strong revenue generation during 2024 coming from this market. We have created strategic partnership and we have launched new products, which are answering the requirements from the market. And we have a lot of insight information about what the market is looking for. And we are developing our products accordingly. The worldwide age computing market is growing rapidly. The modern battlefield or modern warfare, we clearly see that drones, robots and other technologies are used in the battlefield. And the Maris Solutions is now deeply deployed and used in the battlefield. And the opportunities are just growing and the market is increasing significantly. In terms of our core business strategy, we will discuss later on, but we are moving towards final solutions and we are leveraging our strategic partnerships with other partners worldwide and we are aiming now mainly the U.S. and the Indian market and we continue our activities in order to bring unique edge computer solutions and increase their performance and answer new requirements coming from the market. So I would say that Maris now is becoming a leader, a real leader in regards to when it comes to edge computing solutions. And especially when it comes to miniature low power solutions. Just a few words about the financial results, although Nir will go into details, but we had a revenue growth of 50% this year, and we have decreased our loss in 54%. And let's continue with some other details. When it comes to the worldwide presence, we have increased our presence in the world. Israel although is the main market, we are here, we are answering the market requirements, but we have a lot of activities in Western Europe, in the U.K., based on the relationship we have with a distributor in U.K. We have activities in every location where we have a flag here, but we are going to emphasize during 2025 in markets such as North America for sure, Eastern Europe, India and some other markets where we feel there is a need and clear demand for the technology. We have made a few announcements during this year, I won't go through all of them. I'm sure that you are familiar with the announcements, but I would like to mention some of them, which are key announcements. During January and April, we made two announcements related to intelligence gathering, I can tell you in general that we have been selected by intelligence agencies to develop unique and very powerful intelligence gathering solutions. We have been dealing a lot with situation awareness during February 21, June 10, and August -- 1 of August, and we have received big orders for situation awareness platforms, which are deployed in the battlefield during the last 12-months successfully and saving lives on a daily basis. We have developed a unique solution and we have announced in June a new order, which is related to a [Indiscernible] solution for a drone video payload with unique capabilities and an important order coming from the U.S., a $1 million order based on what we call the Amethyst 5G, it’s a platform which is supporting video streaming over 5G in a narrowband in narrowband -- not narrowband 5G is not narrow, but the streams are in a narrowband. And this is a real penetration in the U.S. market. So let's discuss typical applications. What we can see here, I would say the four typical applications that we are involved with. One of them is the drone scenario. Maris is already mounted on 1,000s of drones worldwide in Israel, in Europe, in India, and some other locations. And on the drone, we are providing everything necessary to serve surveillance applications, target striking, loitering munitions, and we are becoming the main computing platform on the drone, which communicates with the sensors, with the autopilot, with the radio communication and many other capabilities. Another important application is the situation awareness. When we are talking about situation awareness, it can be a solution for a site, although during this year, we have provided solutions mainly for armored vehicles. I can say that we have equipped technology on more than 1,000 tanks. I believe this is one of the biggest deployments of a situation awareness platform coming from a single company. And what we are doing, we enable threat detection based on cameras mounted on the armored vehicle, detecting the threats coming close to the tank, either 360 or three-dimensional. And we are alerting about these threats and saving lives, I would say, this very moment. Intelligence gathering, I've already mentioned, in intelligence gathering, we enable from remote platforms to collect information and send it over narrowband communication based on AI capabilities, so we can detect important information and send it whenever necessary. And we are also providing tactical devices for special operation forces here in Israel and worldwide. What is our strategy for 2025 and for the near future? First of all, we intend and as a matter of fact, we already started to provide final products. When we're talking about final products, we're talking about a platform within enclosure, which is serving certain applications. As of today, we have solutions for armored vehicles, missile launchers, but we intend to provide some other solutions, which will be described later on. And of course, this will have an influence on margins and the opportunities in the market. We see a clear demand for miniature low-power solutions for miniature drones. You cannot imagine how big the drones market is becoming. For example, in Ukraine, they are producing yearly hundreds of thousands of miniature drones, which will need video capabilities, streaming capabilities, and maybe other age computing capabilities. And we have created solutions. For example, if you will see on the right side corner, the MARS RF, this is a platform that we have designed which is consuming very low power and serving a miniature drone as applications. And I can tell you that we have a specific customer, which is using this technology and collecting information for intelligence gathering. Tactical devices, we are developing some wearable and miniature and lightweight solutions, which will be used by special operation forces. And we are also providing, and we will also provide products through strategic partnership worldwide, which will promote our solutions, either OEM solutions or final products. We have, I would say 100s of different platforms, but they can be divided into certain groups, which are based on the main processor that we are using. I won't go into technology details, but I can tell you that we have four family products, the Jupiter, the Mars, the Uranus and the Venus. The Uranus is serving the situation awareness. The Jupiter is serving intelligence gathering and drones applications, the Mars as well. And the Venus is more related, FPGA based serving some other applications, which are more heavy in terms of video functionality. Our roadmap will focus this year on final products. First of all, integration of the Maris Solution with thermal cameras, together with our partner in the U.S., the Topaz will be a unique, small, miniature low-power solution, which will integrate the thermal camera, the Maris video solution together with the Hailo AI capabilities. And we will create a product which doesn't exist, which will be a thermal IP AI-based camera. The Diamond Ultra is based on the final product that we have designed for armored vehicles, and we will integrate also drones detections, UAV detection on the platform. And the last one, the Peridot is going to be a unique passive radar combining a few cameras and creating a sort of a AI-based detection solution, which will be passive, not active as a regular radar. And this will include the cameras and the enclosure and a solution, which can be used for border control and some other areas protection. So this is our roadmap for next year. And now I will give the stage to Nir to continue with the financial information.
Nir Bussy: Hi everyone, my name is Nir and I am the CFO of the company. In the following slide I will show you some highlights from our financials focusing on what we can disclose as a public company. Our revenues continue to grow increasing from $1 million in 2020 to approximately $6.1 million in 2024, representing a growth of more than 50% in our revenues, compared to 2023. Our backlog as of the end of March this year was approximately $9.9 million, which we expect to recognize as revenue in the coming years. Alongside with the growth of our revenues, our net loss continued to decrease from $3.7 million in 2022 to $2.7 million net loss in 2023 and to $1.2 million in 2024. It's representing a decrease in our net loss of more than 54%, compared to 2023. Our cash and cash equivalent as of the end of December last year was approximately $2.3 million. We believe that our cash flow together with proceeds from our customers and using our line of credit will be sufficient for us for support our growth and operation in the coming 12-months. Thank you.
Israel Bar: Okay, thank you, Nir. And just to summarize what has been discussed, we have discussed our leadership in the defense and homeland security market. We have discussed the expanding market opportunity, our core business strategy, our position as a supplier of video and edge computing solutions and the financial highlights described by Nir. And we are now open to any question from the attendees.
A - Israel Bar: Just a second, please. Okay, I'm going to answer a question, which is related to our agreement with the Indian distributor. The question is that there is limited information available about Thrikasa Technology, which probably contribute to the drop in Maris stock yesterday? I can tell you that we have signed an agreement with the distributor, which is dealing a lot with the defense market. We believe that this distributor will open us some opportunities in the market. And we have just started and I don't see any relation between this agreement and the share price.
Nir Bussy: We have another question regarding the decreasing in revenues between the second-half in 2023, compared to the first-half in 2024? At this stage, we are still a project company with a set of different orders from our customers. Our revenues are not linear through the year. We want it to be linear, but this stage is not linear. And for this reason, there will be sometimes a decrease in revenues between different periods. This is the answer for this. And regarding future expectations, there is another question about it, our forecast. This is not public information that we can share at this stage.
Israel Bar: Okay. Okay, since I don't see any more questions, and then I would like to thank you all for participating our webinar. And we will be happy to update you more in the future. Thank you.
Nir Bussy: Thank you very much.